Operator: Good afternoon ladies and gentlemen and welcome to Shaw's Fourth Quarter Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question and answer session. [Operator Instructions]. It is now my pleasure to introduce your host for today, Mr. Jim Shaw. Please go ahead.
Jim Shaw - Chief Executive Officer: Super and welcome here to our fourth quarter results. I am going to ask Peter to read the script just because I have a nasty little cold and I had to talk to the Board all day yesterday and do other things like that. And as you know in Canada, it's still a little cold up here, so nothing can be said bad there. But I'll save my breadth for questions. So Peter, with that, I'll turn it over to you.
Peter J. Bissonnette - President: Great. Thanks Jim. And with us today are Steve Wilson, who is our Chief Financial Officer; Brad Shaw, our Senior Vice President of Operations; Michael D'Avella, our Senior Vice President of Planning; Ken Stein, the Senior Vice President of Regulatory and Jim Cummins, who is the Vice President of Operations for Star Choice. Thank you for joining us today to discuss our fourth quarter and year-end results which were released earlier this morning. As in the past, we'll keep our comments brief and leave ample time for questions at the end. The strength of Shaw's business has always been and always will be our focus on the customer. We are committed to constantly improving our customer's experience through continuous enhancements to our product offerings, introducing innovative services that our customers are demanding and providing exceptional service. The regions that we operate in have some of the healthiest economies in North America. This helps us to support the solid growth we saw over the year in our various services, particularly digital TV and Internet. Our high definition customer base has increased significantly and we added 100,000 high definition customers in 2007. We expect to see further growth as our high definition lineup evolves. During fiscal 2007, we added an additional 12 services and we currently offer 21 high definition channels to our customers across Western Canada. We continue to maintain one of the leading broadband businesses in North America. We added almost 135,000 customers during the year and over 65% of our cable customers now subscribe to our Internet service, up from 60% at the start of the year. Digital Phone was rolled out to many smaller systems during the year and is now available to over 80% of our footprint. Our focus is to continue to target steady growth each quarter. The strong customer additions and our focus on profitability and efficient capital deployment resulted in solid financial performance in 2007. Consolidated revenue increased by almost 13% and EBITDA grew by 15% compared to the previous year. Free cash flow in fiscal 2007 increased by over a third to $356 million. We released preliminary fiscal 2008 guidance earlier today which targets further EBITDA growth of 10% to 12% and our free cash flow is projected to be $450 million or better. Over the coming year, we will continue to invest in our business and manage our capital expenditures in order to achieve our free cash flow target. Our investments will be done in line with growth and business requirements and we expect that CapEx will exceed $650 million in fiscal 2008. We remain convinced that returning the majority of free cash flow to our shareholders is the most appropriate use of our capital. In 2007, we repurchased over 100 million of our Class B non-voting shares and we paid over $200 million in dividends to our shareholders. We are pleased to announce that our Board of Directors has approved a 9% increase and our annual equivalent dividend rate will now be $0.72 per share. The higher dividend rate is effective for the December payment. We have made a conscious decision to focus our return of capital to shareholders in the form of dividends and we lead the North American cable industry in dividend yield, which, following this increase, will be approximately 2.8%. This strongly positions us as one of the top 30 yielding corporations within the S&P/TSX Composite Index. We believe our shares offer investors a unique combination of attractive growth, supported by healthy dividend yield. As the $30 billion of funds currently invested in BCE begin to look for a new home, we believe investors will be looking at Shaw shares as a viable and attractive alterative to redeploy their capital. The results that we produced in 2007 are exciting and we believe that our customers and shareholders will continue to benefit from the successful implementation of our strategy over the coming year. That concludes our comments and we would now like to open the phones to answer any questions.
Jim Shaw - Chief Executive Officer: Perfect. Thanks Peter. Question And Answer
Operator: Thank you. [Operator Instructions]. And our first question will now come from Vince Valentini. Please go ahead.
Vince Valentini - TD Securities Inc.: Hey, thanks. Good quarter guys and good dividend increase. Just on the subscriber side, the numbers on the telephony are a little bit lighter than the third quarter and the basic sub adds are a bit below you did in the fourth quarter last year. Nothing dramatic, but I am wondering if there is any signs you are seeing in the market of increased competition from TELUS both on the telephony side given the regulatory freedom they now have. Are they being more aggressive and you are finding it tougher to compete with them? And on the video side, they don't give out their numbers, talk about it much, but it's been a couple of years now since their initial so-called launch. Are you starting to see any impact on the video side from them competing and taking customers from you? Thanks.
Bradley S. Shaw - Senior Vice President, Operations: Thanks Vince, it's Brad here. On the basic additions or a slight loss for the quarter, a couple things you have to factor on that. One is Q4 is usually our highest activity for seasonal disconnects. And a combination with that of the implementation of the rate increase in Q4, we saw the results of the basic, and that's why we were flat. On the telephony side, and as we've always said, as we look for steady even growth quarter-over-quarter, we have seen that and we continue to manage to that. As far as forbearance and win back decisions in the quarter, we have not seen a lot of activity from the islets [ph] on that side. And on basic, we continue to see some competition from TELUS, but it's not something that is really material at this time.
Jim Shaw - Chief Executive Officer: And I think, Vince, we are still suffering from a really tight labor market here in the West and throughout everywhere, we are having to jockey our call centers around. We expanded into Winnipeg, we have done a whole bunch of creative things. But we are seeing a really, really tight labor market and that's certainly why we are kind of projecting managed growth.
Vince Valentini - TD Securities Inc.: Okay. Thanks.
Operator: Thank you. And our next question will now come from Jeffrey Fan of UBS Security. Please go ahead.
Jeffrey Fan - UBS Securities Canada Inc.: Thanks very much and good morning. I wanted to ask you guys about the cable margins in the quarter at 49%, very strong both on a year-over-year and also sequential increase. So aside from the price increases that we've seen and the subscriber growth, is there anything else that's helped? And perhaps you can shed a little bit of light on the profitability of your Digital Phone service, if you can just elaborate on that and whether that drove some of the margin increase.
Peter J. Bissonnette - President: Thanks very much. First of all, the range, if you will, of the margins for cable will continue to be in that sort of 47% to 49% range, and it can fluctuate based on marketing promotions. I think they might have been a slight impact in terms of labor being somewhat less than the previous quarter, but... so, we are quite comfortable in those... in that range. And on the telephone side, I think in that 33% to 35% range... sorry, it's a little higher than that. Actually, it's about 40% range we feel comfortable that taking into consideration promotions that we would expect to see that.
Jeffrey Fan - UBS Securities Canada Inc.: New systems coming on too, right, Peter?
Peter J. Bissonnette - President: Yes, so the promotions of those new systems coming on usually is preceded by a marketing campaign.
Jeffrey Fan - UBS Securities Canada Inc.: And is that 40% telephone margin taking into account the fact that you've moved a lot of the ads on to your own platform away from Bell or is that still with the Bell cost included?
Peter J. Bissonnette - President: No, that takes into consideration the moment of traffic from Bell to our own controlled CLEC network.
Jeffrey Fan - UBS Securities Canada Inc.: Okay. All right, thanks very much.
Operator: Thank you. And our next question will now come from Rob Goff of Haywood. Please go ahead.
Rob Goff - Haywood Securities: Thank you very much. You noted that you had increased your labor by 1500 and you also noted it's a tight labor market. What are your plans going ahead in terms of adding to your employee count and to what extent does that imply a gating factor?
Peter J. Bissonnette - President: The employee... the great thing is that within our... into our systems, we have the ability on the call center side of things, for instance, to transfer overflow calls from one call center to the other. So it certainly can be, for instance [ph], in Calgary, the tight labor market. However, we could compensate for that tight labor market in Calgary by overflowing... to call centers, or rather by regional call centers. And on the... I think the market is flattening in terms of our ability to attract employees, and our sense is that with the exception of launching in December our newer systems that our manpower component [ph] is relatively fixed at the current levels.
Jim Shaw - Chief Executive Officer: Probably, Rob, if you've got a chance to add another few hundred in, you would probably take it up. But we going to have a hard time finding qualified people. The time we train, it's about a year into the process and we are more comfortable just managing the way we are right now.
Rob Goff - Haywood Securities: Okay. Thank you very much.
Operator: Thank you. And our next question at this point will come from Glenn Campbell of Merrill Lynch. Please go ahead.
Glen Campbell - Merrill Lynch: Yes, thanks very much. I mean you've gotten terrific revenue growth in part because you've had these back-to-back rate hikes. Could you tell us, first of all, on how much benefit you got in the quarter from the second rate hike? I think that was in July and whether with this slightly increased churn you are seeing whether you think you might need to go a little slower there? And then as a follow up, if that's the case, you have been sort of taking a very measured approach to your growth in telephony. I mean your penetration growth was, say, a little under Comcast and about half of what Videotron is doing. Do you think you might need to go a little faster there? Thanks.
Jim Shaw - Chief Executive Officer: I guess the first question, I would ask, Glen, on the Videotron thing is what would their margin on telephony be and would a double growth measure only attract more capital, less revenue and less operating income for the shareholders? So we don't think that's the right approach and have never taken that one. And I will let Steve answer the last question here.
Steve Wilson - Senior Vice President and Chief Financial Officer: The rate increase in total is going to contribute $6.5 million per month for the year. So that will be about $80 million for all of fiscal 2008. We implemented it partway through Q4, so we about a month and a half in there in Q4. And again, most of that pop up in margin that we saw at 49% in the fourth quarter was attributable to the rate increase. So we'll see a more normal level in the first quarter of fiscal 2008 as that sort of levels off and obviously our salary increases and regular network fee increases that come at the start of the year.
Glen Campbell - Merrill Lynch: Okay, thanks. And just as a quick follow up, your operating expenses actually dropped sequentially in cable. Is that just the labor point you mentioned earlier or are there any other sort of true ups that affected the Q3 to Q4 change there?
Steve Wilson - Senior Vice President and Chief Financial Officer: There were no unusual true ups.
Glen Campbell - Merrill Lynch: Thanks.
Operator: Thank you. And our next question will come from Peter MacDonald of GMP Securities. Please go ahead.
Peter MacDonald - Griffiths, McBurney & Partners: Thanks. Just on the guidance, you're looking for 10% to 12% in EBITDA growth, which is down from 15% this year. I was just hoping you can run through some of the assumptions that you put into that expectation.
Peter J. Bissonnette - President: Well, we think 10% to 12% growth after 25% growth over the last two years is still pretty good. We are chugging along here. One of the things to keep in mind is that because we implemented the rate increase partway through last year, that cut the growth rate if you will, because the base of the fiscal of '07 number was a bit higher than it would otherwise have been. But the 10% to 12% represents the rate increase of what we expect to add in terms of customer additions. And so... and it also reflects the higher costs that we expect for labor over the year, other potential marketing costs in the business and other costs in operating. And we have to allow ourselves some room in presenting ourselves to shareholders to be able to have the flexibility to respond in a competitive market with promotional and marketing activities as we see fit during the year. So I don't think it's very much out of line with the general expectation out there. and particularly when you keep in mind that we are have a ready... we are significantly ahead in Q4 where people expected partly because of that early rate increase.
Peter MacDonald - Griffiths, McBurney & Partners: Can we assume that there will be no other rate increases this year, or are you anticipating greater competition from the telcos or are there any specific costs that we should be aware you? I know you mentioned 40% margins on telephony. Does that include your business telephony roll out?
Jim Shaw - Chief Executive Officer: I think what I could tell you is that you could expect that consistently, I would think all telcos and cable cos will continue to raise rates. And the timing we would now tell anyone that because that would be an internal thing. I think you can look for Shaw to start looking to add new products to existing product lines which would in turn drive additional revenues to keep on growth rates high.
Steve Wilson - Senior Vice President and Chief Financial Officer: And Peter, I'll just add that with the headcount increases we have had, there is still the full year impact of some of those that will flow through next year as well. So we are part year higher this year; you'll have that full year impact next year. So that contributes to some of the cost increase.
Peter MacDonald - Griffiths, McBurney & Partners: And just as a follow up, Jim, you are seeing absolutely no indication that there is any pricing pressures that we should be concerned about in your markets?
Jim Shaw - Chief Executive Officer: Well, maybe Peter can answer too. But I... when we ask [ph] about it, we haven't seen very, very little pricing pressure. And I can't remember what the rate increase was, $3 or $2 or something, what was it?
Peter J. Bissonnette - President: The key that we had found, Peter, is that by continuously adding quality to the services that we offer our customers and doing the kinds of things we've done in term of creating different tiers of services so customers feel even more satisfied with a service that they have chosen to take that there is a perception of value. And there is a real value in the way that we offer our services. And we see occasionally the deal of the day in some of the other provincial areas that we serve and we deal with those as fit. But generally, we don't see pricing pressures that would preclude us from continuing to do what we have done in the last year.
Jim Shaw - Chief Executive Officer: Well if you take the Internet for example, we deliver more service, more speed by probably times 3. The other person gives a computer away, an iPod away, something else away every time, and yet we still continue to be the market leader. So I think that would tell you that it's more driven off our capacity to give the service level to the consumer than anything else.
Peter MacDonald - Griffiths, McBurney & Partners: Okay, that's helpful. Thanks.
Operator: Thank you. And our next question will now come from David Lambert of Canaccord Adams. Please go ahead.
David Lambert - Canaccord Capital: Yes, hi. A couple of question. First of all, I would like to know a bit more about high speed penetration. Do you see it saturating during 2008? And I mean I look at your year-over-year high speed Internet, subscriber growth, there is a slightly tick down in net adds. And I was just wondering if it's more difficult at this point to get... to increase your penetration, especially given that your basic cable subs seem to be leveling off.
Peter J. Bissonnette - President: That question has been asked for the last five or six years. Every year... when you are at 30%, do you think you have room for 31%? And we continue to say that our customer... as long as we continue to build our networks, scale them so they can perform as they are preeminent in the Internet service, customers will continue to come to it.
Jim Shaw - Chief Executive Officer: I think the other thing to just keep in mind is that we were the first ones to call 60 as the number and maybe we were a year ahead at calling that, or I mean we were a year and a half ahead. As we look to the new DOCSIS product with the 100 megabit service, which Michael can go into, or we look at our new power boost product that we are going to bring out that is for gamers, I think... we think there is lots of room to expand across the whole product line just on that one segment of our business.
David Lambert - Canaccord Capital: Okay. Great. And on the CLEC side, I was wondering if you can give us an update on the progress you are making in moving customers over from Bell to your network.
Peter J. Bissonnette - President: We are preoccupied with that. Our objective is to have a majority of the move completed within the next three to four months, but there will still always be residual costs associated with operator services and 411 services. But we would expect that that will be completed. It will be generally completed in the next three or four months with still a residual cost.
David Lambert - Canaccord Capital: Okay. Is there any one-time CapEx associated with that?
Peter J. Bissonnette - President: There is CapEx for back office systems that is being spent as we are moving along. It's a part of the transition.
Jim Shaw - Chief Executive Officer: And I think we have the switches in place --
Peter J. Bissonnette - President: Yes, switches are all in place. It's really a matter of extending the reach of those and moving customers from a network sort of by primarily by Bell over to our own. And the dollars have already been spent in terms of conditioning the network.
David Lambert - Canaccord Capital: Great, thank you. Good quarter.
Peter J. Bissonnette - President: Thank you.
Operator: Thank you. Our next question will now come from Darren Robinson of MGI Securities. Please go ahead.
Darren Robinson - MGI Securities: Hi, good morning. Just a quick follow-up question on the high speed Internet and the telephone customers for that matter. Is there a way that can you stratify what the net adds looks like in terms of the... for the Internet low speed, for example, to the ultra high speed? Can you maybe give us a high level quantification of the numbers?
Peter J. Bissonnette - President: No, we are not into stratifying... the strategy for the light speed of course was to for any customers who had the Internet and they found that, economically, that it was maybe a little pinching them too much. What we are finding is that many of our customers who may come in that door ultimately end up going to the high speed and then even to the nitro speed. So there is movement within those and it's typically positive where people want more rather than less.
Jim Shaw - Chief Executive Officer: And we wanted to have a product for people would come to us and say well, I only really want dial up or maybe I want a little more than dial up. So we could offer them a product that was a little more robust than dial up and then from there, our whole effort is to move them up through the chain.
Darren Robinson - MGI Securities: Okay. Just a last question on a totally different subject. Just in terms of your free cash flow, you've clearly indicated dividend increases are the number one priority. Where does debt reduction fall in the equation right now? And in terms of share buybacks, with the stock at $26 at or near its all-time high, does that change your view on share buybacks?
Steve Wilson - Senior Vice President and Chief Financial Officer: Last year, Darren, we achieved a nice balance of paying out $200 million of dividends. We paid... we repurchased 100 million of shares and we reduced our net debt by $65 million. For the coming year with the increase that we are putting through today, it would indicate a dividend payment of just over $300 million which gives us $150 million of room. And same as last year, we will evaluate through the year as we go whether we do share repurchases or debt repayment. We have got no immediate plans at this point for share repurchases, but there may be opportunities we want to take advantage of. And also, we just paid off $300 million of notes. We have $100 million that we've drawn on our credit facility. So we may want to clean that up over the course of the year and also potentially keep our powder dry for some smaller acquisitions that we might consider during the year.
Darren Robinson - MGI Securities: Okay. And sorry, last question, I probably know the answer to this, but I'll ask it anyway. Any change in your review on a wireless strategy?
Unidentified Company Representative: No change.
Darren Robinson - MGI Securities: Okay. Thank you.
Operator: Thank you. Our next question will now come from Randal Rudniski from Credit Suisse. Please go ahead.
Randal Rudniski - Credit Suisse First Boston: Thanks. Just wanted to clarify the language in note 10 to the financial statements, and you indicate that you have not recorded a recovery for this contingency. I was wondering if that... if you had reversed any accrual for the Part II fees given that the CRTC has said they won't collect them this November.
Steve Wilson - Senior Vice President and Chief Financial Officer: Well, there is a number, Randall, of different sort of technical considerations that go into the accounting for this. This is in general terms a Q1 item for us and it relates to the CRTC notice that came out in October the 1st. We are retaining our accrual for fiscal 2007 and we don't have a plan to reverse it at this point. To be conservative, in the guidance that we've prepared here, we have assumed that we continue to accrue for the Part II fees for the balance of this year which will be approximately about $25 million. And we'll be evaluating that in Q1 and to the extent that we'll be looking at that accrual going forward and when we come back, we can provide some direction on that relative to the guidance as well. And that's why we've added this contingency note here.
Randal Rudniski - Credit Suisse First Boston: That's very helpful. Thank you.
Operator: Thank you. And our next question at this time will come from Tim Casey of BMO Capital Markets. Please go ahead.
Tim Casey - BMO Nesbitt Burns: Thanks. A couple of things. Peter, could you update us on how the SME [ph] rollout is coming and perhaps some milestones we should look forward to as you develop that new business? And Steve, just quickly, could you update us on what the outlook is for cash taxes? I am assuming there is no cash taxes in '08, but roughly 60% of taxes will be cash in '09. Just wondering if you could update us on those metrics. Thanks.
Peter J. Bissonnette - President: So on the SME, I think last quarter we talked about a slow and steady growing of our infrastructure to offer the SME new product, and that continues. We have added resources in all of our major systems now to actually sell the SME product. And so we would see kind of a sluddy... sorry, steady growth in that side of the business. SOHO, which is a small office/home office, we are seeing good success in offering our 124 line service, and there are some features that we are going to be integrating which we think will make that even more attractive to the smaller businesses, multi-line hunting and those types of features. But I would think this is good, steady growth.
Tim Casey - BMO Nesbitt Burns: So Peter, the sales force, just to confirm, it's in place and knocking on doors now?
Peter J. Bissonnette - President: That's correct.
Jim Shaw - Chief Executive Officer: Now it might be a littler smaller than we intend to have it over a longer period of time, but we are certainly starting to get very active on getting people in there to knock on doors. And we are also doing a lot of work on getting a little more advantage out of our U.S. fibre assets.
Steve Wilson - Senior Vice President and Chief Financial Officer: Tim, on the cash tax question, over the last years, we have indicated roughly about a 2009-2010 timeframe. Now that we are getting closer to that, we felt it was important to be a little more specific on how this will flow. And so on page 8 of the press release, in the MD&A, we've actually put some very specific numbers in there to help you out with your modeling. We expect right now that we'll be cash taxable partway through the fiscal 2009 year. And again to assist with your modeling, we have indicated there that we have at the end of 2007 tax loss carry forwards of approximately $900 million. So you can plug that into your model and your view of profitability and it will sort of spit out the cash tax horizon for you.
Tim Casey - BMO Nesbitt Burns: Thank you.
Operator: Thank you. And our next question will now come from John Henderson of Scotia Capital. Please go ahead.
John Henderson - Scotia Capital Markets: Yes. Thanks. Just want to follow up on that, Steve, the cash taxable part. Could you say what is the size of your UCC base in relation to your net fixed assets? That is would you gradually move up to 100% cash taxable of taxes or is it going to kind of be a switch when you run out of pools?
Steve Wilson - Senior Vice President and Chief Financial Officer: No, it's a switch from [indiscernible] basically.
John Henderson - Scotia Capital Markets: Okay.
Steve Wilson - Senior Vice President and Chief Financial Officer: So you'll see a partway impact in 2009, then a full impact in 2010.
John Henderson - Scotia Capital Markets: Got it. Now I don't want to harp on negative, because it was a great quarter generally, but I want to kind ask one about the satellite equipment subsidies. They jumped up in the quarter $835 per gross add is what I see. And I just wonder is that in part because of the HD technology rollover that the upgrade there that you've got and you had to replace HD boxes, or can you kind of give some color around that?
Peter J. Bissonnette - President: Specific to the success-based number in the quarter for satellite were some of the projects that we had ongoing to do some enhancements to enhance our capacity. And I will let Jim add anything he wants to on that.
Jim Shaw - Chief Executive Officer: Sure. We did the APSK upgrade which had a benefit to of course Star Choice as well as cable and we also changed out our 12 PSK receivers that were in the field as well as 50... about 22,000 upgrades of our single look [ph] customers on the fringeside.
John Henderson - Scotia Capital Markets: And is that program completed in the quarter or is there more to come?
Jim Shaw - Chief Executive Officer: No, it's completed.
John Henderson - Scotia Capital Markets: Okay, so we should be going back to the previous sort of equipment subsidy level?
Steve Wilson - Senior Vice President and Chief Financial Officer: Yes, but that's why you see that reversal in trend compared to the year in Q4.
John Henderson - Scotia Capital Markets: Right.
Unidentified Company Representative: How many channels did that add, Jim ?
Jim Shaw - Chief Executive Officer: That added 12. It doubled our capacity.
John Henderson - Scotia Capital Markets: Now looking forward, I think you are at 32 channels of HD now. How do you see that progressing going forward and what would be the cost of adding further capacity? I guess over the next few years how much capacity do you guys see having on HD?
Peter J. Bissonnette - President: It's interesting. If you look Dish Network in the U.S., it has 14 satellites. They only offer their customers 32 HD channels because those are the 32 most watched channels. Over and above the 32, there is some [indiscernible]. But what we've done over the last five years in terms of have, again, slow, steady, we will add the transponders necessary. We will relocate, we'll harvest, we'll change multiplexing. We still have some tools in the tool box, if you will, to use what we have even more efficiently, and that's what our plan would be. But we see the 32 that we offer. We also offer, there is three occasional used channels for center ice hockey which brings that up to 35. But we are in the realm of sort of the leaders of the pack, if you will, in terms of the services that customers want are the services that we carry.
John Henderson - Scotia Capital Markets: Great. Thanks very much.
Operator: Thank you. Our next question will now come from Dvai Ghose of Genuity Capital Markets. Please go ahead.
Dvai Ghose - Genuity Capital Markets: Yes, thanks very much. If I can tie the dividend increase and the wireless question perhaps unfairly, but if you can comment, I'd be grateful. So as you point out, your new dividend is about $311 million using the shares outstanding at the end of the quarter, $450 million plus the free cash flow. That's about a 69% payout. But if you fully tax it and you're going to start paying taxes in 18 months or so, it's a 100% payout. Is the implication that you're basically formally saying that you're not interested in the AWS auctions? I mean you debt is sort of 2.9 times EBITDA, you probably have some room but not a lot. Is this basically a signal to the Street you are not interested in wireless?
Jim Shaw - Chief Executive Officer: I think when you look our debt at 2.9; it's probably almost an all-time low was --
Peter J. Bissonnette - President: Well our number would be 2.75, but you may... you're making some adjustments in there.
Dvai Ghose - Genuity Capital Markets: Yes, sorry, 2.7 is your reported --
Jim Shaw - Chief Executive Officer: We are, as a company, we are at an all-time low. Right now when we look the wireless thing, no one has seen the rules, no one knows whether you get roaming. There are so many questions out there that how could you make any kind of logical answer to that question given we don't know how anything works. So how much spectrum do you get?
Peter J. Bissonnette - President: Collocation.
Jim Shaw - Chief Executive Officer: Collocation, there are so many issues. And from what we see, we have said to the minister we think that unless the rules were so compelling that there will be no way we'd go in. So I would... right now we view it as no.
Dvai Ghose - Genuity Capital Markets: But I'm wondering, would you perhaps have waited for the rules before your increasing your dividend given that you don't know what the rules are? Is this basically saying that you don't think the rules will be that favorable?
Jim Shaw - Chief Executive Officer: No I think what we're saying is we are supportive of our current business and we see a lot of growth there just in what we have. So I wouldn't relate the dividend increase to the wireless auction at all.
Dvai Ghose - Genuity Capital Markets: Okay. Two other quick related questions. If you do enter into wireless, and obviously you'll have to wait and see the rules. I mean one of the possible solutions is a partnership, but I think your company along with others have been negatively impacted by partnerships and JVs in the past, at home, I'm referring to your case. Do you have any appetite or stomach for a wireless partnership if the rules are conducive?
Jim Shaw - Chief Executive Officer: Well the at home partnership actually was held pretty well. I think we only made $500 million in that partnership. So I think that worked out pretty well. We tend to be a company that goes it alone. But I think our answer on wireless now is no.
Dvai Ghose - Genuity Capital Markets: Okay. And then last but not least on the resale side, I guess nothing to add, something you'll explore in the future.
Jim Shaw - Chief Executive Officer: There is no money in that model.
Dvai Ghose - Genuity Capital Markets: Okay. Thanks very much.
Jim Shaw - Chief Executive Officer: Okay. No problem.
Operator: Thank you. And our next question will now come from Ben Swinburne of Morgan Stanley. Please go ahead.
Benjamin Swinburne - Morgan Stanley: Good morning guys. Thanks for taking the question. Let me go back to the HD question on capacity and just sort of network architecture on the cable side over the next couple of years. How do you guys think about the various tools you can deploy to add capacity both for high speed and for high def? You've mentioned in the past switch digital may not be ready for prime time. Is MTEC 4 [ph] something you guys are thinking about rolling out or are the swap out costs too high on that front and when do you think the DOCSIS 3.0 finally gets deployed?
Michael D'Avella - Senior Vice President, Planning: Ben, it's Michael. I mean DOCSIS 3.0 is probably more of a late '08 deployment given that nothing is really cable line certified at this point, and we are not going to see it until next year. And I don't think we'd want to be ahead of that curve. We want to wait for the certifications to happen. On the HD side, I mean right now in cable, we offer about 24 HD channels and that includes 3 channel that we use on an occasionally used basis for pay per view events as Peter mentioned, whether it's movies or sports. That's a pretty good offering given what's out there. I mean we carry everything that's worth carrying in the HD world. And we don't see a whole lot of new HD services coming over the next 12 months that are really going to change that dynamic. We might add another 6 to 10, Peter, I think is sort of the number we are looking at depending on what actually comes up. Switch digital is probably the way to go in the longer run, but I don't think we need to make that call right now. I mean that technology is being deployed by the U.S. guys as you know and it's beginning to become very stable and we'll wait and see. But I think it's probably going to be one of the ones that we look at and take for as another possibility. It does require a box upgrade, if you will, but I mean all these options are available to us. We are nowhere near that point where we have to make the decision on one or the other. And I think what you will find is that it will be a combination of technologies; it won't be just one.
Benjamin Swinburne - Morgan Stanley: Great.Thanks a lot.
Operator: Thank you. And our next question at this time will come from Adam Spielman [ph] of PPM America. Please go ahead.
Unidentified Analyst: Thanks for taking the questions. You mentioned consolidation. What's really left in Western Canada? I assume it's kind of small and do you have any aspiration? And I am not asking about Rogers for stuff outside of Western Canada.
Jim Shaw - Chief Executive Officer: Well I think you have seen this year, Steve, how much did we spend?
Steve Wilson - Senior Vice President and Chief Financial Officer: About $75 million this year.
Jim Shaw - Chief Executive Officer: Yes, just... but we'll call little tuck-ins. I would look for something in the same kind of range hopefully. If we don't get them, it's not a big deal, but we were just adamant on the end. So not really a material event for Shaw.
Unidentified Analyst: Okay. And just on Star Choice for a second, obviously, done a nice job with the business, there is awful lot of cash. Is that still a core asset and do you think there will be a regulatory issue with merging it with the other DBS provider in Canada?
Jim Shaw - Chief Executive Officer: We are pretty comfortable with the asset. We have done a lot of work to get the cash coming out of it. The team there has done a great job. I don't think there will be any regulatory event with the Commission. I don't know. I haven't really thought about that. I don't think you are going to see anything happen out of Bell Canada till the merger is complete. And I think you are going to see them spend a lot of time trying to figure out what they have and what they want to do. So that wouldn't be an event that I would consider happening anytime quickly.
Unidentified Analyst: Okay. Just another follow up on the taxability issue into '09. Does that... in terms of the way you think about your financial policy, does that make you want to consider at some point taking on more debt so you pay less taxes and how does that kind of fit in with increasing the dividend?
Steve Wilson - Senior Vice President and Chief Financial Officer: Well I think as we have said before, I mean when we look at our capital structure, the first thing is what we feel is appropriate from a strategic perspective. And we feel that the levels that we are at now and sort of are coming to over the next year are appropriate for us. We may consider other events going forward to the extent that we become under levered just by virtue of the fact that if the debt stays constant and the EBITDA continues to grow, at some point, we get down in the low 2s. So there may be other things we might want to consider there but nothing at this point, Adam.
Unidentified Analyst: Okay. And just a final one. Any plans for the last piece of preferred stock right now, the COPrS?
Steve Wilson - Senior Vice President and Chief Financial Officer: No, the $100 million of COPrS outstanding, the rate in those COPrS is 8.54%. And unlike the other COPrS that we redeem, the other COPrS, many of them have big foreign exchange savings and they were all par redemptions. The redemption on this COPr is at 104. And so when we look that at that 8.5% financing for a 20 year term loan right now, we are comfortable leaving it in a place at this point. The other thing is in the past where we've done refinancing of COPrS it's generally been before or after another long-term financing event, and we have nothing planned right now.
Unidentified Analyst: Okay. And as you look at, I understand this isn't imminent, a couple of years you have got some chunkier 11 maturities in the U.S. dollar market. How do you think about refinancing that debt? Do you think you would try to do in Can dollars or U.S. dollars or any view on that right now?
Steve Wilson - Senior Vice President and Chief Financial Officer: Well I think it's very early for a view on that. It will depend on the market conditions at the time and capacity and where the best deal is.
Unidentified Analyst: Thank you.
Operator: Thank you. [Operator Instructions]. And our next question will come from Andrew Calder [ph] of RBC Capital Markets. Please go ahead.
Unidentified Analyst: Well, thank you very much. With the Canadian dollar being where it is, it looks like a potentially nice benefit for you in 2008. Is this a meaningful opportunity for the company in terms of OpEx and CapEx?
Steve Wilson - Senior Vice President and Chief Financial Officer: Well, from an OpEx point of view, we've got very little OpEx that's denominated in U.S. dollars. We do of course buy equipments that denominated in U.S. dollars and when we look at the equipment that we buy for our own accounts outside of the customer premise equipment, which essentially is a flow through, we will expect to see some pick up this year. We do have some hedges in place and we also of course have to run through the inventory that we have in our warehouses today. So that will sort of reduce the impact in fiscal 2008. But just to give you some sense of the magnitude there, on a year-over-year basis, we would expect it to be above $10 million of additional cash pick up from the exchange rate assuming that things stay at roughly parity for the balance of the year.
Unidentified Analyst: Great. And just a follow up on that. I guess there is a couple of things you could potentially do with that extra money, maybe marketing initiatives or redeploy or, as you say, just take it as cash. Any thoughts on that?
Steve Wilson - Senior Vice President and Chief Financial Officer: Well, I think we've built all of that into our guidance in terms of our view for CapEx for the year.
Unidentified Analyst: Thanks very much.
Operator: Thank you. Next we have a follow-up question from the Dvai Ghose. Please go ahead.
Dvai Ghose - Genuity Capital Markets: Yes, sorry, just a quick one on the Internet side. I think you benefited in the last quarter, fiscal Q3 from TELUS's billing system implementation issues. Do you think that had a positive impact on this quarter?
Bradley S. Shaw - Senior Vice President, Operations: Yes, it did. Dvai, it's Brad. It certainly had some benefit, and how measurable that is, I couldn't tell you.
Dvai Ghose - Genuity Capital Markets: Okay. And is the problem at TELUS, as that's suggesting from your perspective, just a procurement problem, or at least in the quarter or you seeing service quality issues on their side which are helping you?
Bradley S. Shaw - Senior Vice President, Operations: Well,the routes the pretty competitive. We are having a hard time getting information from them, but they are probably on the line. So, maybe I will add that there is a speaker.
Dvai Ghose - Genuity Capital Markets: Fair enough. Thanks again. Congrats on the results.
Operator: Thank you. And at this time Mr. Shaw, there are no other questions. I would like to turn the meeting back to you.
Jim Shaw - Chief Executive Officer: Okay, thank you operator. That ends the call. We'll see you next quarter guys.
Operator: Thank you, Mr. Shaw. Ladies and gentlemen, this does conclude the conference call for today. Once again, thank you for participating and at this time we ask that you please disconnect your lines. Have yourself a great weekend.